Operator: Good morning, everyone, and thank you for joining us for the AvidXchange Holdings, Inc.'s Second Quarter 2023 Earnings Call. Joining us on the call today is Mike Praeger, AvidXchange's Co-Founder and Chief Executive Officer; Joel Wilhite, AvidXchange's Chief Financial Officer; and Subhaash Kumar, AvidXchange's Head of Investor Relations. Before we begin today's call, management has asked me to relay the forward-looking statements disclaimer that is included at the end of today's press release. This disclaimer emphasizes the major uncertainties and risks inherent in the forward-looking statements that the company will make this afternoon. Please keep these uncertainties and risks in mind as the company discusses future strategic initiatives, potential market opportunities, operational outlook, and financial guidance during today's call. Also, please note that the company undertakes no duty to update or revise forward-looking statements. Today's call will also include the discussion of non-GAAP financial measures as that term is defined in Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, the company has provided a reconciliation of these non-GAAP financial measures to financial results prepared in accordance with GAAP. With that, I will now turn the call over to Mike Praeger. Mike, over to you.
Mike Praeger: Thank you everyone for joining us today. Joe Wilhite and I are excited to discuss AvidXchange's second quarter 2023 results. But before I do that, I just wanted to thank all of those who participated in our recent Investor Day event on June 1 held both in-person and online, and especially for those of you that visit us in Charlotte, North Carolina, for our Investor Day event. You experienced firsthand our performance-based AvidXchange culture and how we have successfully transitioned to be back in the office three plus days a week across our multi-office footprint. We are already seeing an impact on productivity, collaboration, and teammate development. With that, I want to now turn to our second quarter results. We delivered another quarter of solid operating results, achieving now eight consecutive quarters of exceeding our financial targets relative to our implied outlook. Revenues exceeded our implied Q2 2023 outlook, while our adjusted EBITDA results were a standout bright spot, driven by healthy revenue performance, continued gross margin expansion, unit cost production along with operating expense leverage. These operating and financial results coupled with the optionality we believe we have at our disposal gives us further confidence in our progression towards our medium-term Rule of 40 objective of achieving both 20% organic revenue growth and 20% adjusted EBITDA targets by 2025, which we outlined during our Investor Day. As the macro backdrop remains somewhat volatile, where economic sentiment swings back and forth between a hard landing and no landing, our purpose-built value proposition of accounts payable and payment automation solutions is a proven capability with tangible and rapid ROI for middle market companies. By leveraging the force multiplier of our proprietary two-sided network buyer and supplier customers reap enormous value benefits that we believe get particularly magnified during volatile economic times. Our buyer customers are able to automate their back office and significantly reduce costs oftentimes by more than 60% while enhancing scalability and security of their accounts payable and payment processes. While on the supplier side, our supplier customers get better visibility into their invoice and payments and are able to accelerate their cash flows and working capital while optimizing aspects of their own back office reconciliation functions. A good customer example of the power of our overall AvidXchange business flywheel and the value we are delivering through our two-sided network is with Chicago Illinois based Remedy Medical Properties, the nation's largest private owner of healthcare properties. Remedy exemplifies the power of AvidXchange's two-sided network. Before adopting AvidXchange's invoice and pay solutions, Remedy accounts payable and payment processes were time intensive with many manual processes. According to senior accounts payable manager David Bennett, several hours a day were spent opening the mail, scanning invoices, filing and stuffing checks into envelopes. By adopting our API based AvidInvoice and AvidPay Automation Software Solutions was seamlessly integrate into Remedy's Yardi Voyager Accounting System. Bennett's team shade off one whole workday per week by no longer needing to sign checks, stuff envelopes and file invoices. Without AvidXchange, Bennett estimates that they would've had to hire up to three to four more people to process, the growing volume of invoices and payments over time. As David Bennett stated, keeping track of AP statuses and conversations was challenging, but with AvidInvoice, there is now a central place for updates, notes, and answers, allowing us to work more efficiently and better communicate with property managers and our suppliers. While buyer customers like Remedy and other customers we have referenced over the past quarters highlight the customer value proposition. There are also broader market forces that are influencing the adoption of our solutions across the middle market or the mighty middle, as I call it. These forces range from the continued mass shift to the cloud for the critical back office applications that support business continuity along with enabling work-from-home models for finance and accounting professionals along with changing demographics and high focus on payment fraud prevention. And speaking of payment fraud prevention, recently the U.S. Postal Service put out an urgent bulletin warning against sending checks through the mail due to a surge in mail theft. Nothing drives human behavior more than loss avoidance, and according to the Association of Financial Professionals roughly 70% of payment fraud for organizations occurs with paper checks. However, based on our data, payment fraud relates to checks in the B2B space is even greater at over 90%. While fraud is unfortunate, it adds another layer of uncertainty to our remaining paper check supplier customers while magnifying the value proposition of our various payment modalities. With roughly 55% of our payment mix still being checks, we're extremely well-positioned to help our customers mitigate this risk while building on our industry-leading e-payment penetration. Let me now provide a quick summary of our year-over-year second quarter 2023 financial results. We delivered revenues exceeding $91 million, which grew to rate of over 19% compared to the same period last year. Once again, our second quarter growth was led by double-digit revenue growth dynamics across most of our vertical markets. Non-GAAP gross margins expanded to over 68% in the quarter, up 460 basis points on a year-over-year basis. In addition, we posted an accelerating non-GAAP adjusted EBITDA profit of approximately $3 million in the quarter, which was close to an $8 million positive swing from an adjusted EBITDA loss of $4.7 million in the same period last year. We also ended the quarter with a 9.5% year-over-year increase in our total transaction yield to $4.84, which is now up $0.79 or roughly 20% since our IPO in October of 2021. On today's call, we'll touch on three topics. First, our top of funnel activity, second, discuss innovations to our existing product suite around new payment modalities under Gear 3 of our AvidXchange business flywheel. Quick reminder that Gear 3 incorporates all of our collective strategies to convert paper checks, electronic payments, along with an update of our pending launch of Invoice Accelerator 2.0. And third, explore several of our operational levers designed to accelerate automation that are key steps to driving continued gross margin expansion and accelerating our profitability. So on to the first topic, from a top of funnel buyer opportunity perspective, we ended the first half of 2023 with a healthy growth up 70% on year-over-year basis. Virtually all verticals saw double-digit growth including construction, financial services, media, healthcare, our HOA, and educational as examples. Equally, the growth in the top of funnel came with a slightly higher average deal size attachment aided by our three-way PO match product. This healthy top of funnel was further backstop by a sustained pace of closed win rates. The only top of funnel deviation continues to be within the commercial office sub-sector of our overall real estate vertical. Just to be clear, when we talk about real estate vertical, we are largely talking about real estate commercial operating companies and not residential home builders. Although multi-family, student housing and industrial sub-segments of the real estate vertical remained very strong, commercial office real estate continues to soften. Meanwhile, product and integration partnerships launched over the last 12 months continue to play a solid role in the growth of our top of funnel prospect activity. For example, the launch of our three-way purchase order or PO offering in 2022, although off a small base has seen triple-digit uptake. What's more exciting is how broad the adoption has been spanning education, real estate, and our HOA condo association management verticals across both vertical and horizontal ERP accounting systems. Furthermore, the average new buyer deal size in our top of funnel related to the three-way match is also larger than what we typically see in those verticals. In the education vertical, for example, we're seeing three-way PO use cases with individual schools and school systems for ordering supplies and managing their inventory. Equally encouraging, we're seeing strong top of funnel activity within our preferred strategic partnership with ResMan in the real estate multi-family sub-sector, which was launched last year as well. All in all, we are very pleased with the underlying metrics driving our top of funnel sales momentum. This underscores not only the large and unpenetrated $20 billion plus addressable market within the B2B middle market for AP and payments automation solutions, but also the long secular growth opportunities that we see despite some near-term pockets of macroeconomic softness. Topic number two, is all above year three of our AvidXchange business flywheel, where we continue to accelerate ways to maximize our industry-leading e-payment penetration of converting paper checks to various forms of e-payments across our two-sided network by removing barriers to adoption. As an example of our STP offering and introducing new payment modalities, which we believe is the secret sauce of our success and one of our biggest competitive advantages. We are excited to highlight new augmented payment modality in conjunction with just launched Lien Waiver Management solution, which delivers critical automation functionality within our construction vertical. Currently, buyers and suppliers in the construction industry have to navigate a series of regulatory rules across various government agencies in order to set up and begin transacting. New and existing buyers in the construction vertical must have the account validation and other customer due diligence requirements. While new and existing suppliers numbering in the thousands must also pass numerous bank account validation rules in order to be paid. Our new same day payment offering for lien waivers compliantly and programmatically sends same day payments from general contractors, our buyers, to subcontractors our suppliers. With the integration of this new payment modality, the system allows for the programmatic creation of suppliers, payments, and status reporting while incorporating a new specialized payment funding model. This augmented payment modality makes a great use case for the roughly 1,500 base of construction buyer customers. And finally, topic number three is related to optimization of operational levers where we continue to look at the linkages across our operational value chain, specifically around payment processes with the objective of further automating all of our remaining manual payment delivery processes. Currently when making a virtual card payment, the process and time it takes between a wholesale processor generating a virtual card and getting that virtual card into a supplier's hands to complete the entry of card details into the merchant system typically requires multiple manual stuffs translating into approximately two days of delivery time. Through our new virtual card delivery and distribution platform, which we plan to have fully rolled out by Q4 that processing time goes from two days to near real-time delivery of cards to our suppliers. This dramatic overhaul does not only improve the customer experience through faster speed, but it also drives scalability and efficiency for us. With virtual card issuance potentially numbering into the millions on an annual basis, this new capability has the potential of not only generating meaningful savings over time, but also extending the payment automation horizons significantly further beyond our current 80% payment automation level today. In summary, we are pleased with our strong second quarter top-line and exceptional bottom line results. We remain focused on delivering on our product roadmap, integration partnerships, and e-payment penetration, while leveraging data to drive incremental customer value. On today's call, we provided a progress update on some of those areas and look forward to further such updates around partnerships in the works in addition to existing and new offerings we've been nurturing. This includes our flagship Invoice Accelerator 2.0 finance offering, which is targeted be released in the fourth quarter and is just one example of many new innovation products in our product pipeline. Along similar lines, we're also rapidly broadening the use case for products just launched across our other verticals based on demand. Our new lien waiver management offering that we announced last quarter is a great example of this and we look forward to updating you on this offering along with other use cases in the future quarters. Of course, none of the success we achieved to-date would be possible without the existing talent and new talent we continue to track to be part of our team. So it is with great enthusiasm, I take this opportunity to announce the promotion of John Feldman to the role of Chief Operating Officer from SVP of Operations. John has leveraged his formidable experience as Chief Operating Officer of Capital One's retail bank, Chief Risk Officer, as well as other roles overseeing product management around payments and various financial institutions to great effect at AvidXchange. Thanks to John and his team, our efforts related to the service transformation strategy are yielding results as roughly 80% of our e-payments have now been automated with significant more gains to come. Also, I'm pleased to formally announce the appointment of Doug Anderson as our Chief Product Officer. Doug brings his forte of building products and other SaaS-based offerings at scale to AvidXchange honed from his experience at leading global tech companies such as SAP Concur. We believe these strategic, operational, and talent initiatives coupled with our strong balance sheet cash, gives us further optionality to accelerate value creation opportunities. Of course, we are mindful of the volatile macroeconomic backdrop and the potential further short-term impacts on our business. However, we believe we are still in the very early innings of a significant long-term opportunity to drive impactful value for our customers, create future growth opportunities for our team members, and unlock both short-term and long-term value for our shareholders. With that, I'd like to turn the call over to my partner, Joe Wilhite.
Joel Wilhite: Thanks, Mike, and good morning, everyone. I'm pleased to talk to you today about our second quarter 2023 financial results, which reflect continued execution of our growth strategies amid continued macro uncertainty. Overall, we delivered another quarter of healthy year-over-year financial performance. Relative to the implied second quarter 2023 business outlook, second quarter revenues came in better driven largely by interest revenues that together with higher gross margins driven by unit cost initiatives and yield expansion coupled with expense control led to significant adjusted EBITDA outperformance. We believe this adjusted EBITDA outperformance underscores the scope for operating leverage in our financial model. Now turning to year-over-year results. Total revenue increased by 19.1% to $91.2 million in Q2 of 2023 over the second quarter of 2022. Roughly two-thirds of the revenue growth was driven by the combination of addition of new buyer invoice and payment transactions coupled with yield expansion. The remaining third of our revenue growth this quarter was driven by higher year-over-year interest revenue partially offset by a year-over-year decline in political revenues. Our strong revenue growth also resulted in total transaction yield expanding to $4.84 in the quarter, up 9.5% from $4.42 in Q2 of 2022. Of the 9.5% increase, roughly three quarters of the increase was driven by the aforementioned flux between interest and political revenues with the remainder driven by mix and yield expansion. Software revenues of $27.2 million, which accounted for 29.9% of our total revenue in the quarter, increased 12.6% in Q2 of 2023 over Q2 of 2022. The increase in software revenues was driven by growth in total transactions of 8.7% with the balance driven by a combination of price increases in certain subscription-based revenues. Payment revenue of $63.2 million, which accounted for 69.4% of our total revenue in the quarter, increased 22.6% in Q2 of 2023 over Q2 of 2022. Payment revenues reflect the contribution of interest revenues, which were $9.2 million in Q2 of 2023 versus $1.2 million in Q2 of 2022. Recall year ago period payment revenues also included contribution from political media revenue almost half of the 22% -- 22.6% increase in payment revenues was roughly in line with the increase in total payment volume, which was up 12.6% with the remaining portion driven by the aforementioned flux between interest and political revenues. On a GAAP basis, gross profit of $55.6 million increased by 29.6% in Q2 of 2023 over the same period last year, resulting in a 500 basis point improvement in gross margin for the quarter to 61%. Non-GAAP gross margin increased 460 basis points to 68.3% in Q2 of 2023 over the same period last year, roughly more than half of which was driven by a combination of unit cost efficiencies, yield expansion and mix with the remainder driven by higher interest revenue. Now moving on to operating expenses. On a GAAP basis, total operating expenses were $81.4 million, an increase of 18.3% in Q2 of 2023 over Q2 of last year. On a non-GAAP basis, operating expenses excluding depreciation and amortization increased 10.9% or $5.8 million to $59.2 million in the second quarter of 2023 from the comparable prior year period. However, on a percentage of revenue basis, operating expenses excluding depreciation and amortization declined roughly 480 basis points to 65% the second quarter of 2023 from 69.8% in the comparable period last year. This highlights the operating expense leverage, particularly across G&A as well as sales and marketing. I'll now talk about each component of the change in operating expenses on a non-GAAP basis. Non-GAAP sales and marketing costs decreased slightly by $0.4 million or 2.2% to $18.7 million in Q2 of 2023 over Q2 of last year, which was driven largely by lower marketing costs around event sponsorships. Non-GAAP research and development costs increased by $3.8 million or 21% to $21.7 million in Q2 of 2023 over Q2 of last year. The increase was due to continued investment in our products and platform. Non-GAAP general administrative cost increased by $2.5 million or 14.9% to $18.9 million in Q2 of 2023 over Q2 of last year, driven by a combination of higher expenses as we transitioned to a public company coupled with higher performance-based bonus accruals and bad debt reserve adjustment. Our GAAP net loss was $18.8 million for the quarter versus a GAAP net loss of $25.7 million in the prior year period, driven by a combination of strong revenue flow-through and expense control leading to lower operating losses coupled with higher interest income and lower interest expense due to reduced borrowing costs and partial debt pay down. Our GAAP loss reflects $3.6 million of expenses related to the cyber incident in the second quarter of 2023, which includes professional services and legal fees. On a non-GAAP basis, excluding those cyber costs, our net loss in the second quarter of 2023 was $0.5 million an improvement of $13.2 million compared to the year ago quarter, driven by the aforementioned factors. On a non-GAAP basis, adjusted EBITDA was approximately $3 million in Q2 of 2023 compared to a loss of $4.7 million in Q2 of 2022, largely due to the aforementioned factors. Now turning to our balance sheet for a moment, I want to touch on a few key items. We ended the quarter with a strong corporate cash position of $438.3 million against an outstanding total debt balance of $82.9 million, including a note payable for $18.7 million. We had $23.9 million on our credit facility undrawn at quarter end. Corporate cash meanwhile was split roughly 60% among money market funds, commercial paper, and U.S. treasuries with the remaining 40% in demand deposit accounts. The weighted average maturity on the corporate cash was roughly 12 days, while the effective interest rate on our corporate cash position for the second quarter was roughly 4.6%. Customer cash at quarter end was approximately $1.2 billion with an interest rate of roughly 4.2% for the quarter. I'll now provide an update on our full-year 2023 guidance. In light of our second quarter 2023 financial outperformance balanced with further volume impacts from macro cross-currents, and based on all information currently available, we're raising our 2023 outlook and now expect total revenue for the year to be in the range of $368 million to $370 million. Our 2023 revenue outlook reflects approximately $35 million in interest revenue from customer funds versus approximately $11 million earned in 2022. Also, as a reminder, we do not anticipate any political media revenue contribution in 2023 versus having recognized $8.5 million in 2022. Similarly, we expect a higher non-GAAP adjusted EBITDA profit ranging between $7 million and $8 million for the year. This adjusted EBITDA outlook reflects approximately $2 million in incremental second half investments in IT security enhancements and associated costs related to the cyber incident. With that, I would now like to turn the call back over to the operator to open up the line for Q&A. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Jamie Friedman from Susquehanna. Jamie, your line is now open.
Jamie Friedman: Hi, good results here. Thank you for taking my question. I just was hoping you could elaborate on this Slide 4. It's the financial monetization flywheel, and I know you had talked about this a bit in your prepared remarks, but if you could take a couple of these in particular that you think the model is most leveraged to like would -- how would you decompose it? Is it obviously the buyer customers, the transaction yield? Yes, if you could pull out a couple of these and just talk through how you're thinking about the inputs that would be very helpful. Thank you.
Joel Wilhite: Thanks, Jamie, and appreciate the question. Why don't I kind of lead off and let Mike add some color? The way -- first thing I would say is just zooming out from the flywheel and the metrics that you're referencing. When we think about that 20% organic growth potential that we have in the early days of this really big opportunity, we think about it in sort of kind of three simple elements to our growth algorithm that kind of do map to that to the flywheel. And so first of all, when we think about Gear 1 is attracting and retaining buyer customers of accounts payable automation. We think about keeping and expanding organically that volume on our platform. Number two; we're continually focused on adding additional buyers and their volume. And number three, expanding the yield of the volume on that platform and the yield really comes into Gear 3 and Gear 4. So just generally setting the table. Mike, I don't know if there's more that you want to sort of map back to the flywheel.
Mike Praeger: Yes. The -- so one of the things that the flywheel does, Jamie is allows us to really monetize -- continue to monetize the same transaction multiple times. And now, we're up to five to six different monetization events that we can have in a single transaction from the managing the software for the purchase order, the invoice, the payment, and then we have specialized services that we recently released like AvidAnalytics and even one around utility bill payments. And then on the network side, we certainly have the economics related to e-payments along with them our Invoice Accelerator offering related to supplier financing. So it allows us to continue to monetize the same transaction multiple times. And where that shows up is that our transaction yield continued to expand. And then the one thing I like to remind people is, with Gear 3, which is at the bottom of the flywheel that's a really big opportunity for us as we still have over 50% of our suppliers on paper check. And just remind people when you do that conversion from a paper check supplier to an e-payment supplier, the revenue on the payment network for a check is zero, and we have relatively high cost of about $0.85. When we flip it to be electronic supplier, the cost goes to pennies and the revenue goes to $8, $10 on average per transaction. So that's a really big kind of built-in monetization kind of opportunity for us within the existing base before we even add new buyer customers and supplier customers to the flywheel.
Operator: Okay. Your next question comes from the line of Dave Koning from Baird. Dave, your line is now open.
Dave Koning: Yes. Hey guys, great job on profitability. And I guess my first question, incremental margins on a year-over-year basis about 53% it's the strongest in many years. And I'm wondering if you can kind of disaggregate a little bit. We know interest revenues probably contributed some cost cuts maybe some, and then how much is just kind of core stable cost base in revenue growth, just driving good incremental margin, like maybe just kind of walk through that a little bit and how sustainable this is.
Joel Wilhite: Yes. Great question, Dave. Thanks for the question. So maybe let me just start with kind of talking about gross margin, then I'll make a few other comments all together contributing to the incremental margin you're seeing from an EBITDA perspective. We've talked about the importance of gross margin and the focus that we have on that. We've said before that as we get into that 70% Zip Code, we begin to see a profitable business, and we've kind of crossed that point and kind of not looking back. And so for the quarter overall good -- overall non-GAAP gross margin expanded 460 bps as I mentioned in the prepared remarks, a 100 bps on a sequential basis. And to your point, the float contribution is something that benefits. It's kind of a great feature in our model and benefits gross margin and EBITDA performance, but stripping out both the impact of float and the year-over-year impact of the political media advertising, we're still up about 260 bps year-over-year, 40 bps sequentially. So that really shows the focus that we're taking on just operational efficiency across the Board. No one in particular lever, but many that we're focused on. And so we're proud of the gross margin result for the quarter. On the EBITDA side of things, again, we're also -- we talked about beginning to seal C scale in the model this year. First with kind of G&A as we kind of get through the full load of public company costs in our run rate, and then a focus on kind of minimizing that growth. And then also from an R&D perspective, we're really focused on both growth and profitability, and we have a full payload of investments in our products and platform, but also we see and are very focused on harvesting scale from R&D as well. So all told we're kind of pleased with the quarter, pleased with the progress from a profitability standpoint.
Operator: Our next question comes from the line of Will Nance from Goldman Sachs. Nance, your line is now open.
Will Nance: Hey guys, I think that was me. Appreciate you're taking the question. I was hoping you would spend a little bit more time just kind of unpacking some of the macro impacts that you're seeing in the quarter. Trying to think about like the expectations for revenue X float in the back half of the year and how that's changed. And I guess as you look out, we've seen some of these macro-related impacts on invoice sizes over the past year. Do you have a sense or can you maybe just kind of catalog when you first began to seeing it and when we should start to kind of grow over some of those negative impacts on invoice sizes? Thanks.
Joel Wilhite: Yes. Good question, Will, and I'm happy to take that one. I guess what I would say is, first of all, we're pleased with the quarter, another solid quarter, kind of exceeding our expectations, but in a time of caution and moderation that has persisted all year and I think we talked early in the year about having seen this begin mid-way through the last for the -- through the fourth quarter of last year. And that that choppiness or moderation, whatever you want to call it has really kind of continued. And so as we sat and thought about kind of guiding the second half of the year, obviously we've incorporated kind of the beat that we see and a revised take on what we see from a float revenue standpoint. Apart from that, the back half really contemplates nothing different than what we've sort of been suggesting all along. And so not sure when it turns around, we'll certainly talk about it when it happens, but expecting that the current conditions persist through the better part, through the end of the year.
Mike Praeger: Yes. That was well said, Joe, and it will just maybe a little historical context in kind of past cycles when we've seen it do it's heard around we noticed that discretionary spread comes back really quickly across our customer base. So we certainly look forward to kind of when that macro turns around as well.
Operator: Next question comes from the line of Ramsey El-Assal from Barclays. Ramsey, your line is now open.
Ramsey El-Assal: Hi there, thanks so much for taking my question today. I wanted to -- it was great to see the entire vertical stack sort of X real estate was back to healthy growth this quarter. On real estate, I was wondering how you're looking at that vertical over the longer-term. I'm thinking of work-from-home trends and sort of struggling commercial office markets. Will real estate kind of diminish as we move forward in terms of its longer-term contribution to growth? Or are you expecting a rebound back to sort of prior levels?
Mike Praeger: Yes. So Ramsey, this is Mike. So one thing I'd like to clarify is overall the vertical of real estate actually performed fairly well for us. Then my commentary was it's a big vertical related to lots of sub-sectors within the vertical. And when we look at our customer base, it's really kind of split across five different verticals, led by multi-family, apartment operators being one, the second one is, student housing and campus housing, third is industrial, the fourth is retail, and the fifth is commercial office. So of the five, commercial office is the one that we saw that had -- that still has kind of the headwinds related to the dynamics that you just indicated. But yes, the reason why the overall vertical was positive for us is because multi-family, student housing, and industrial are really performing well. And if you see, a lot of our new kind of partnerships that we've launched in the last couple years are with companies in the focus in the multi-family sector. So we -- and then maybe kind of the backdrop is although it's the -- our first vertical we started in 23 years ago, we're still single-digit penetration within the vertical so lots of runway in that overall vertical.
Operator: Your next question comes from the line of Craig Maurer from FT Partners. Craig, your line is now open.
Craig Maurer: Yes. Hi, thanks, guys. Two questions. First, could you unpack the increase in revenue guide a little bit and differentiate between what was driven by an increase in float revenue versus what the change was in core revenue guidance. And secondly, if you think back to prior cycles, can you perhaps try to size what you think the impact from political revenue will be in 2024 considering the election cycle? Thanks.
Joel Wilhite: Thanks, Craig. I'll take the first part of the question. Yes. So look, we were pleased again with the quarterly results again, a beat on top and bottom. And so we've factored in obviously now raising the range for the year factored that into the equation. And really, I think it would be if I were to split that out, it's really the continued -- what we continue to see is that moderation and spending across the middle market that that's baked in and a little bit of a tick up in that float revenue contribution. But feel good about the outlook for the rest of the year. Mike?
Mike Praeger: Yes. And on the political side, so in the last cycle, we controlled their process to roughly 30% of the political spend payments of the industry. And if we look forward to the -- what's estimated for 2024 political cycle, they estimate to be the first $10 billion spend cycle for political advertising. And that's up roughly I believe the last cycle was roughly $7.8 billion, so certainly some growth there in 2024. And the one thing that was a learning for me was everyone kind of assumes its gear exclusively for the candidates, and that's actually not the case. It's a kind of mix split between both candidate advertising as well as the main issues. So the issues drive a lot of the spend as well. So that probably maybe gives you a little bit of context.
Operator: [Operator Instructions]. Your next question comes from the line of James Fawcett from Morgan Stanley. James, your line is now open.
James Fawcett: Yes. Sure. Wanted to talk a little bit about competition and we've seen news recently from other players in the market including Brex and Ramp yesterday. And how are you seeing -- what are you seeing out in the market in terms of competition and how would you frame the distinction in business model that are out there in strategy compared to your own right now?
Mike Praeger: Yes. So that's a good question. Certainly, we saw those announcements as well. It's kind of interesting in terms of actually what we see happening in the market is really no different than what we here have seen historically related to new competition within the middle market segment. Typically, the new entrants have been focused on small business. There's lots of good reasons for that mainly driven by the -- all the nuances of the mighty middle as I call it the middle market being roughly 50% of all the companies middle market highly align themselves with industry verticals that require unique business process as well as accounting systems to support the verticals. And that's translates to a big effort related to product development related to integrations as well as accommodating the nuances of the industry. A good example of that is what we talked about with our lien waiver management for the construction vertical. So we can do a good job of executing construction-related payments. And so what we continue to see is really the same players across the middle market component, and it's very verticalized. And then you have the horizontal layer where we do see kind of probably the most competition is in the horizontals related to the NetSuite channel, Microsoft Dynamics, Sage Intacct, Acumatica as examples. And the specifically for Brex, Ramp, they've been really on the spend management side versus the AP side. And we don't really see them. They don't have significant activity that we see across our particular verticals within the middle market.
Operator: Your next question comes from the line Tien-Tsin Huang from J.P. Morgan. Tien-Tsin, your line is now open.
Tien-Tsin Huang: Hi, thanks. Good morning. I think Dave asked on incremental margins, but maybe I'll ask on gross margins in the second half. Again, just want to make sure if there's any callouts for the second half as we model that out.
Joel Wilhite: Yes, yes, great question, Tien-Tsin. And I think it's again I won't repeat obviously my comments in response to Dave's question, but we were pleased with our kind of margin expansion. Again, 460 bps even close to 300 stripping out political. One of the things specifically to your question about, I would go back to some comments I've made previously about just cautioning some moderation in those gross margins going forward. Again the -- our -- we're super focused on gross margins. We expect to continue to see that edge up over time, but not in linear fashion. And so I would sort of say that we've -- we think about overall year expansion in the kind of 200 bps range, and maybe 100 or so stripping out float on a full-year basis.
Operator: Your next question comes from the line Darrin Peller from Wolfe Research. Darrin, your line is now open.
Darrin Peller: Guys, thanks. Just revisiting the algorithm around EBITDA 20% targets, I know gross margin is a big part of that we're seeing the success of that now, but if you guys don't mind reminding us just of the path and the building blocks and the timing that we can think about for all those factors playing out and how much is reliant on incremental, well, I guess I'd say both incremental products and offerings that are high incremental margin as well as macro to some degree.
Joel Wilhite: Yes. I mean maybe I'll -- let me make a brief comment and then Mike add some color. I think that obviously, we're focused on getting to that kind of Rule of 40 profile with a kind of organic 20% revenue growth as you move out into kind of 2025 and even improve it upon that beyond. I think the pattern again I would go back to not necessarily linear but sort of steady continued expansion in gross margins and scale really, really beginning to see now and for the next year plus in our operating expenses. Mike, anything to add to that?
Mike Praeger: Yes, yes. So I got to go back to maybe it was a little bit of the first question that we had today on the flywheel. I kind of think of that kind of overall growth algorithm today as really kind of five, six different components. The first is wherever we have these multiple five, six now monetization events on a single transaction. And that's obviously growing. We still have the kind of the big bucket of paper check suppliers the 50% of paper check suppliers, that's a great both revenue as well as gross margin driver. We're super excited about this year is one of our biggest years in terms of customer facing product innovation, certainly led by Invoice Accelerator coming up over the second half of this year. And then, we have the strong top of funnel activity continue adding kind of new buyers. And then the last thing is, I think the macro certainly will turn around at some point. And this is I think as Joe indicated; we're not expecting that to be anytime soon, but certainly in the future that will kind of correct itself as we've see in past cycles as well.
Operator: Your next question comes from the line of Alex Markgraff from KeyBanc Capital Markets. Alex, your line is now open.
Alex Markgraff: Hey guys, thanks for taking the question. Maybe first one just kind of on a similar topic around product and top of funnel activity. Mike, I think you mentioned the three way purchase order and module helping with deal size. Just wondering if you could maybe clarify or even quantify some of that, that tailwind, and then just more broadly how you're thinking about the product roadmap and kind of impact on deal sizes going forward kind of in the near-term..
Mike Praeger: Yes. That's a great question related to some of the innovation that we've rolled out to customers and last year -- late last year, we talked about our kind of next-generation purchase order procurement related kind of functionality that we've been rolling out to customers. And one of those was kind of the three-way match capability. The result is what we are kind of hoping would happen, and that is you --we are starting to attract more of the upper middle market some bigger customers. And that's kind of had an impact on our overall kind of average deal size increasing roughly about 20%. So I'll give you context. Historically, it's been roughly in the $50,000 range, and now it's kind of migrated towards the $60,000 range. So it's had a really positive impact related to kind of the types of buyer customers that we're attracting across the middle market.
Operator: Your next question comes from the line of Bryan Keane from Deutsche Bank. Kean, your line is now open. Keane? Keane?
Mike Praeger: Maybe next question.
Operator: Okay. Your next question comes from the line from Brent Bracelin from Piper Sandler. Brent, your line is now open.
Brent Bracelin: Thank you. Good morning. I think Mike; you talked about 55% of the payment mix being tied to check today. What could that check mix like over the next two to three years and what are the things in your control that you can drive that mix lower? Thanks.
Mike Praeger: Yes. So I like this question, Brent. It may be a gold star question because it's one of the things that I spend a lot of time thinking about and certainly a lot of our growth strategies relate to chipping away at this big install base of paper check. So first of all, I think we believe kind of long-term that that number can go into 70% type range. And the kind of the strategies to get there are exactly the types of things that were that I talked about this quarter that we're rolling out to customers. And that is continue to look at different types of payment modalities with different value propositions, different price points with different elements of data wrapped into it that we can deliver in an automated way or a straight through process way to our supplier customers. And the one that we talked about this quarter is -- was related to kind of the same day payment execution for construction customers to satisfy their lien waiver requirements, which is a unique business process within the construction vertical. And so that new payment offering that we're rolling out is another good example of a new payment modality specifically for the construction vertical. And there's a great analogy here because we learned about the impact of that type of payment modality. Maybe a year or so ago when we rolled out a similar payment modality in the media vertical for same day satisfaction of political payments, which has a very sensitive timeline within the political media industry. And so those are all good examples of us continuing to add new payment modalities that we look at how do we target different sectors of this remaining paper check base with unique value proposition both incorporating price points as well as data delivery.
Operator: Your last question comes from the line of Keane from Deutsche Bank. Keane, your line is now open.
Bryan Keane: Hey guys, I think that's me. I'm guessing it's Bryan Keane. I guess two questions. Mike, can you just help us on sales cycles? When you talk about top of the funnel activity, I know they were pushed out a few weeks, maybe even a month. I'm just curious is that that's still the case? And then, Joel, any callouts between third and fourth quarter as we set our models just to make sure we think about the right growth rates to put in there? Thanks.
Mike Praeger: Yes. Maybe I'll start Brian. And so I'm glad we got your question in here. The -- so as it relates to kind of sales cycles, it's remained consistent with what we've been seeing for the last couple quarters. I think we kind of referenced that we saw kind of a slight kind of extension roughly 10 days from what we historically have seen, and that's remained consistent in the past -- in this past quarter as well.
Joel Wilhite: And Brian, just to wrap up your last part of your question, just when you think about the second half, couple comments that I could add first on a revenue side of things way I would think about it, we don't guide necessarily the next quarter, but I would think about revenue as more like a kind of a 49:51 split more or less a little bit of ramp as you get to the end of the year. And then, secondly, from an EBITDA perspective, we are really pleased with the quarterly results. The things that I would suggest again we're proud to kind of be a profitable business, continue to focus on doing that, not looking back. Keep in mind I did mention some investments we're making to pull forward, some investments in our information security profile. And so those will be beginning to ramp between now and the end of the year. And we also continue to make the investments, whether it's Invoice Accelerator or other products. That said, we're focused on continuing to be a profitable business going forward. So thanks for the question.
Operator: Your next question comes from the line of Timothy Chiodo from Credit Suisse. Timothy, your line is now open.
Timothy Chiodo: Great. Thank you for taking the question. A follow-up on the check mix question. So if you could just lay out what a time series might have looked like the business has been operating for many years. What was that check mix like 10 years ago? Were there any kind of step functions ever when you introduced new products? You gave the example with the construction vertical one that might've helped with adoption of kind of eliminating some of those checks and then to the extent that some of that check mix will start to go away at a more accelerated path over the coming years, other products could help with that.
Mike Praeger: Yes, so good question. It is a little bit of kind of the history lesson and we launched the AvidPay Network in 2012. And I think that that first year, we were at 95% check. We -- certainly the, as we got smarter about virtual card delivery that those percentages went up, one of the biggest step function changes was when we launched the Avid -- our AvidPay direct, which is our ACH plus type payment offering where we can configure different interchange or fee-based rates. We settled through the ACH process and then we wrapped kind of a data layer around that transaction we delivered to the supplier for reconciliation. And when we delivered and we came up and with the AvidPay direct that was probably a step function change. And that it kind of now has contributed got roughly 10 percentage points of that monetization. So when I look back maybe five years ago, we were probably in the kind of 25% range. And that's now ticked off to roughly 40% of transactions for settling through e-payments. So we have noticed a kind of a progression. One of the things that is hurts that number a little bit when you look at the on a gross basis is that we're adding large volumes of new customers that are bringing large volumes of suppliers with them. And especially in as we add new verticals and these in our emerging verticals where we don't have as deep a penetration rate of converting those suppliers that we do in some of our earlier sub-verticals, we see larger amounts of paper check suppliers that we're adding to the overall pool. But certainly we're adding -- converting thousands of suppliers on a weekly basis to kind of e-payments and have a pretty strong sales force that dedicated exclusively to the supplier side of the equation.
Operator: Last question comes from the line of Will Nance from Goldman Sachs. Will, your line is now open.
Will Nance: Hey guys, appreciate you squeezing me in for a follow-up, figured I wouldn't let the last three minutes go to waste here, but maybe just a follow-up on similar vein of I think Tim's question just now, when we look at sort of the take rate trajectory, we've kind of been in this roughly 30 basis point range for a while now, and I know a big part of the long-term targets is seeing increased payment -- electronic payment adoption and presumably higher take rates over time. Just wondering if you would kind of talk about kind of near-term drivers of an acceleration in that electronic payment adoption. And I guess maybe just a more specifically a modeling question, when we think about that year-over-year headwind that you guys are facing in the political advertising vertical like was that a higher electronic penetration? Like in other words, like is the 40% number that seems like it's been relatively flat over the past year, is that being weighed down by the lack of the political ad spending this year?
Joel Wilhite: Yes. Good question, Will. The -- so the last part of your question, so the answer is yes. There's a little bit of an enhancement by the presence of political from an e-payment and sort of TPV yield. So yes is the answer to that question. I think your general question is, what near-term drivers to acceleration might exist. Again, we're not sort of predicting when we exit this kind of macro environment. It's possible that that has some positive impact. But again, we're pretty proud of the TPV yield we've got to start with just from an industry-leading perspective, moreover, in this environment. And certainly, there's a lot of leverage over the medium and longer-term through Gear 3, as Mike talked about to take checks out of the system and drive that up.
Operator: All right. No further questions at this time. I would like to turn the call back over to Mike Praeger. Mike, over to you.
Mike Praeger: Thanks. So first of all, thank you for everyone joining our Q2 earnings call. We're looking forward to continue to update you on our continued progress of our operating and financial performance along with our product innovations. With that operator, you may end the call.
Operator: This concludes today's conference call. You may now disconnect.